Operator: Good morning. My name is Brandy and I will be your conference operator today. At this time I would like to welcome everyone to the Silicon Labs, first quarter 2014 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. (Operator Instructions) Thank you. Ms. Deborah Stapleton, you may begin.
Deborah Stapleton: Thank you, Brandy and good morning everyone. As a reminder, this call is being webcast and will be archived for two weeks. The financial press release, reconciliation of GAAP to non-GAAP financial measures and other financial measurement tables are now available on the Investor page of our website at www.silabs.com. I'm joined today by Tyson Tuttle, Chief Executive Officer; Bill Bock, President; and John Hollister, Chief Financial Officer. We will discuss our financial results and review our business activities for the first quarter. Then we will have a question-and-answer period following our prepared remarks. Our comments today will include forward-looking statements or projections that involve substantial risks and uncertainties. We base these forward-looking statements on information available to us as of the date of this conference call and that information will likely change over time. By discussing our current perception of our markets, the future performance of Silicon Labs and our products with you today, we are not undertaking an obligation to provide updates in the future. There are a variety of factors that we may not be able to accurately predict or control that could have a material adverse effect on our business, our operating results and financial condition. We encourage you to review our SEC filings, which identify important factors that could cause actual results to differ materially from those contained in any forward-looking statements. Also the non-GAAP financial measurements that are discussed today are not intended to replace the presentation of Silicon Labs GAAP financial results. We are providing this information because it may enable investors to perform meaningful comparisons of operating results and more clearly, highlights the results of core ongoing operations. I would now like to turn the call over to Silicon Labs Chief Executive Officer, Tyson Tuttle.
Tyson Tuttle: Thanks Deb and good morning everyone. I am pleased to report strong first quarter revenue of a $145.7 million, reflecting solid performance in our microcontroller, wireless and sensor products and strengthen our broadcast products, including record revenue and video. We announced a number of exciting new achievements for the Internet of Things during the quarter. I’ll take more about our latest product developments and business trends shortly. For now I’d like to turn the call over John, who will review our financial results in more detail. John.
John Hollister: Thank, you Tyson. First quarter revenue of $145.7 million was at the high end of our guidance range and essentiality flat with Q4. Broad based revenue comprising of our microcontroller, wireless, sensor, timing and power products totaled $72.3 million in the first quarter or 50% of total revenue. Microcontroller, wireless and sensor products were 29% of total revenue in Q1, down as expected by 3% sequentially and up 28% year-over-year. We continue to see strong momentum in the market adoption of our MCU wireless and sensor products in target Internet of Things applications. Timing represented 13% of total revenue in Q1 and grew 2% sequentially. As expected, the slowdown we experienced in Q4 appears to have been temporary. Broadcast outperformed expectations in the first quarter, with 2% sequential growth driving revenue of $50.7 million or 35% of total Q1 revenue. First quarter revenue reflected a record in video products, with an increase in demand driven by the FIFA World Cup. We also experienced a strong quarter in our automotive radio products. As expected, Access decreased slightly in the first quarter with revenue of $22.7 million or around 15% of total Q1 revenue. We continue to expect these products to decline less than 10% in 2014. On a GAAP basis, first quarter gross margins were 59.8%. R&D investments increased to $42.5 million and SG&A expense increased to $34.6 million, resulting in GAAP operating income of $10 million or 6.9%. GAAP diluted EPS was $0.18, which was at the top end of our guidance range due to the strong revenue performance. On a non-GAAP basis first quarter gross margin was 60.2% due to product mix as we experienced strong performance from broadcast video products. Non-GAAP operating expenses were up more than we expected in the quarter to $63.5 million. Non-GAAP R&D investment grew to $35 million due to greater investment in new product development. Non-GAAP SG&A expenses increased to $28.5 million, which was driven by a combination of higher legal fees and seasonally high fringe costs in Q1. Non-GAAP operating margin ended at 16.6%. Our non-GAAP effective tax rate was 22.5% in Q1 and the increase from Q4 due to the expiration of the federal R&D tax credit in 2013. We estimate that the renewal of the research credit will have a beneficial, steady state effect on the non-GAAP rate of around 3%. Non-GAAP net income for the quarter ended at $18.4 million or $0.42 per share. Turning now to the balance sheet. Accounts receivable decreased to $64.7 million or 40 days sales outstanding, which is a multi-year low. Inventory levels decreased slightly during the quarter to $44.3 million, resulting in an improvement in turns to 5.3 times. Channel inventory increased slightly during the quarter from 40 to 45 days, which is on target. Solid first quarter operating results, combined with effective working capital management generated excellent cash flow. First quarter cash flow from operations was exceptionally strong at $47 million. We had only minimal CapEx for the quarter. We ended Q1 with cash plus short and long term investments of $334 million and our balance sheet continues to be very healthy. Our Board has authorized $100 million for share repurchase and we are maintaining an optimistic position. Before turning the call back to Tyson. I will cover second quarter guidance. We expect Q2 revenue to be in the range of $147 million to $151 million. We expect broad based products to achieve record revenue in the second quarter. Broadcast in expected to be down in Q2 and we expect that Access will be about flat. Gross margin is expected to increase in Q2 to approximately 61%, reflecting favorable product mix for the quarter, driven by the growth of our broad based products. We expect second quarter OpEx to increase to $64 million to $65 million due to unforeseen litigation expenses. Related Q1 litigation expenses totaled $700,000 or around $0.01 per share and we expect Q2 litigation expenses to be $1.7 million or approximately $0.03 per share. Apart from the additional litigation expenses, our strategy to maintain a relatively flat operating expense profile while we grow revenue is unchanged for the quarter. We expect non-GAAP EPS for Q2 to be in the range of $0.43 to $0.47 with a non-GAAP effective tax rate of 22.5% flat to Q1. Again the EPS guide includes an approximate $0.03 impact from the litigation. On a GAAP basis earnings in the second quarter are expected to be $0.15 to $0.19 per share. Now, I’ll turn the call back to Tyson.
Tyson Tuttle: Thanks John. We are very pleased with our first quarter results, which were nearly flat to our strong fourth quarter. Broadcast video was at record revenues. Timing showed signs of recovery and our MCU, wireless and sensor products delivered solid performance despite expected seasonality in our consumer markets. We’ve alighted our broad based product development to address three key industry trends; the rapid growth of the Internet of Things, the need for greater energy efficiency and a continuing demand for bandwidth, driving the expansion of Internet infrastructure. The results of our strategy are starting to materialize and a meaningful revenue growth in our target markets. We expect broad based to be up significantly in Q2, achieving record revenue and reflecting strength across all product lines. With each quarter we enhance our positions in meeting suppliers of silicon solutions for the Internet of Things. We believe this market offers significant growth opportunities for Silicon Labs, while we are well positioned to deliver single-chip solutions. These SoC’s require the integration of multiple technologies, including energy from the microcontrollers, low power wireless connectivity and an array of smart sensors delivering critical data. Silicon Labs offer these solutions today. Our microcontroller, wireless and sensor products were 28% year-on-year and I expect it to generate record revenue in Q2. Our double-digit year-on-year design win growth shows signs of increasing momentum with many new opportunities driven by the rapidly expanding IOT markets. During the first quarter we introduced a new version of our Simplicity Studio development ecosystem, supporting our MCU portfolio in a single unified platform. Simplicity Studio makes the development process easier, faster and more efficient by providing embedded designers with everything they need to complete their project from initial concept to final product. To help developers optimize the energy efficiency of their designs, our development platforms includes real-time energy profiling and analysis tools for estimating power consumption and balancing performance and energy efficiency. You can download Simplicity Studio for free from our website at www.silabs.com.
 : Continuing to broaden our embedded product portfolio, we expanded our Ember, ZigBee portfolio with the addition of a new ARM-based system-on-a-chip family. Providing more memory and connectivity options, these SoC’s make it easier and more cost effective to deploy ZigBee in smart metering and home automation applications. Our new ZigBee SoC’s offer unmatched wireless performance, energy efficiency and robustness. We are seeing strong customer demand for our growing sensor portfolio in a wide range of embedded applications, including wearable products. In Q1 we introduced the industry’s first single-chip digital UV index sensors, which track ultraviolet sun exposure, heart rate and blood oxygen levels. The demand for sensors and wearable consumer electronics such as smart watches and health and fitness trackers is rising as developers seek to differentiate their products with advanced sensing capabilities. Silicon Labs sensors are winning awards as well as designs. Our next generation relative humidity and temperature sensors won the UBM Tech ACE Award in the sensors category. This coveted industry recognition highlights the best in class design, easy to use, accuracy and energy efficiency of our humidity sensors. Compared with legacy discreet sensing approaches, our single-chip solutions simplified the design process, reduced manufacturing costs and complexity and offered the lowest power consumption to their clients. Further strengthening our commitment to our IOT strategy, we acquired the full product portfolio and intellectual property at Silicon Valley-based Touchstone Semiconductor, an early-stage technology company and provider of low-power analog IC’s targeting IOT applications. Touchstone’s products and technologies enhance Silicon Labs imbedded portfolio of energy friendly MCUs, wireless and sensor products, by enabling new levels of power savings for battery powered systems. Turning now to our timing products, we see signs of recovery in the telecom market and expect a return to near record revenue in the second quarter. The proliferation of cost computing and other data in the sensor services is driving explosive demand for Internet bandwidth and related networking and communications infrastructure. Design win activity remains healthy and we continue to win engagements with tier-1 customers. Broadcast delivered exceptional performance in Q1. Media revenues set a new record driven by strength in our Silicon TV Tuners and video demodulators. We are diversifying our broadcast revenue as we grow our content per device, expand our customer base and increase our market participation. We expect to grow our TV Tuner market share to more than 50% in 2014. In audio we enjoyed another growth quarter in automotive radio and expect this trend to continue. We are aggressively expanding our position in this important market as tier-1 European and North American programs start production, and also through market share increases in China, where we benefit from more frequent design cycles. And finally, it is with great pleasure that I welcome our new Chief Marketing Officer, Michele Grieshaber to the Silicon Labs team as a member of my staff. Michele joins us as a 20 year veteran of IBM, where she held key executive roles in marketing management and demand generation, as well as strategic positions in systems, software and services businesses. Her experience and expertise will be extremely valuable to Silicon Labs as we continue to expand our broad based portfolio targeting the Internet of Things. Thank you for your time and attention. We are now happy to take your questions.
Deborah Stapleton: Thank you Tyson. Before we open the call for the question-and-answer session, I would like to remind everyone that we are holding our first Analyst Day on Monday, May 12 at the NASDAQ MarketSite in Times Square. In addition, we will be presenting at several upcoming investor conferences this quarter, including B. Riley’s 15th Annual Conference in Santa Monica in May 20; the Stephens Spring Investment Conference in New York on June 4 and the William Blair Conference in Chicago, June 10 to 12. And now for Q&A; to accommodate questions from as many people as possible before the market opens, we ask that you please limit your questions to one with one follow-up. Operator, we are ready for questions-and-answers.
Operator: (Operator Instructions) And the first question comes from Tore Svanberg with Stifel.
Tore Svanberg - Stifel Nicolaus: Yes, thank you. My first question, I was hoping you could comment more on the moving parts for the June quarter. I think you mentioned specifically the broadcast business is expected to be down. Is that just seasonal or was there an inventory build ahead of the World Cup. Just trying to understand the dynamics there?
John Hollister: Tore, this is John. Based on what we see, it’s more of a latter. We saw very strong demand in Q1, which included a degree of pull-in from Q2 into Q1 in anticipation of the World Cup event. We see that first half of the broadcast is on track.
Tore Svanberg - Stifel Nicolaus: Very good, and as my follow-up, I’m not sure how much you could share with us on the litigation expenses. But I mean, is this a new lawsuit or is this something that’s ongoing. I just want to understand what’s happening there.
Bill Bock: Tore, this is Bill. The lawsuit was filed by a firm by the name of Cresta Tech in January of the first quarter and so this is a new action. The case involves patent infringement claim on our video broadcast products. We have reviewed the claim, as well as our own IP portfolio position very carefully and we feel really good about our IP position relative to this case. Nevertheless its going to cost legal fees to defend and we intend to do so vigorously. The forecast that John provided for the second quarter is probably a pretty good proxy for the run-rate of legal expenses we’ll see through the remainder of this year.
Tore Svanberg - Stifel Nicolaus: Very helpful. Thank you very much.
Operator: And your next question comes from Craig Ellis of B. Riley.
Craig Ellis - B. Riley: Thanks for talking the question. Tyson, can you go into more detail in terms what you’re seeing in the MCU business and specifically how is the legacy portfolio performing on the energy micro side. Is that business still tracking the trajectory towards $7 million in the fourth quarter and how should investors think about core potential as we look out to 2015.
Tyson Tuttle: Right. Thank you very much Craig. The MCU business performed strongly in Q1. If you look at the overall MCU wireless and sensor portfolio, it was up 28% year-on-year and that reflects good performance across our legacy business, as well as good performance from energy, micro and the wireless products, so its across the board. I would say especially in terms of Energy Micro, we are quite pleased with how that acquisition has come together. We did meet our revenue projections in the second half of last year, which was $7 million and we continue to believe that we’re on track to make that acquisition accretive by the end of 2014. So overall, just very pleased with the revenue progression, as well as the cultural fit and the impact that that’s had on our product development.
Craig Ellis - B. Riley: And then the follow-up is on the timing business. Through the year, last year I believe the company talked about not only the up focus on communications where its sounds like design wins are strong, but diversification into industrial and consumer end markets. Can you talk about what you’re seeing in industrial consumer and how should investors think about the application mix of that segment as we go through this year and into next year.
Tyson Tuttle:
 : If you look at the design win traction, a lot of the design win traction has been moving into those new areas, as well as continued strength within our core timing customer base. So I would say that that diversification is playing out. A lot of our new product development is targeted in those new areas as well. So I think there’s a lot to look forward to.
Craig Ellis - B. Riley: Thank you.
Operator: Your next question comes from Blayne Curtis with Barclays.
Blayne Curtis - Barclays Capital : Hey, good morning guys. Tyson, you mentioned in your preamble, some of your sense of products that you announced recently this year. Can you talk about how the traction has gone with those products and is that something that will contribute to revenues this year?
Tyson Tuttle: Yes, the sensor products that we introduced this year, we introduced our relative temperature and humidity sensor. I think that may have been in Q4 of last year and that’s seeing a lot of traction in industrial applications and home automation and security and a pretty wide variety of different applications. We did win that award for that product from the TechInsights Group. We also this last quarter introduced a UV sensor, which is also capable of pulse measurement and blood oxygen levels and that one has seen quite a bit of traction in the variables segment, so if you – and we’ve also, we are including the senor revenue in with the MCU and wireless now. It’s still a relatively small base, but the design and interaction there is fantastic and we see that that’s going to be a nice growth vector for us moving forward.
Blayne Curtis - Barclays Capital : Thanks and then just in the strength and broad based, if you could provide us a little more color on the moving parts. It seems like in your comment; timing is essentially the strongest segment. If you could just clarify that and if you could just give any color as to the kind of particular drivers there that’s getting to the back of that record level last year.
Tyson Tuttle: Right. So we talked about the broad based revenue being at a record level in Q2. That’s really driven across the broad all of our MCU wireless and sensor products. Timing is going to approach a record, it’s not a record in Q2 and our power products are also doing quite well. So I think its really across the board. We do see particular strength in IOT applications for home automation, security, metering and wearable.
Blayne Curtis - Barclays Capital : Okay, thanks then.
Tyson Tuttle: Thank you.
Operator: Your next question comes from Harsh Kumar with Stephens.
Harsh Kumar - Stephens Inc: Yes, hey guys, a quick question. On timing, could you talk about your long-term growth rate that you might see also? Who do you see competitively the most on your timing solutions?
Tyson Tuttle: Harsh, this is Tyson. In terms of the timing growth rate, I believe that is one of our strongest growth markets and strongest growth product lines going forward. Combined with our MCU, wireless and sensor products, I would rank those at the highest end of our growth trajectory. I talked earlier about the strength that we in the communications segment, as well as growing traction in the storage and cloud and wireless infrastructure market. So those are high quality business, as well as one where we’ve been directing a lot of our R&D efforts and we’ve had a lot of design win tractions. So in terms of the long-term growth rate, we talked about those being our highest growth segments. You know I hesitate to put a number on that given the kind of relative weakness that we’ve had in Q4 and extending into Q1 a little bit, but we see that that’s back on track now and we’re going to have a nice 2014 in the timing products and broad based in general.
Harsh Kumar - Stephens Inc: Hey, I appreciate the color Tyson and my second question as a follow-up, as you look into the second half, could you maybe just – I know you’ve talked qualitatively about your broad based business and how strong you feel. But maybe could you put some metrics around it and if possible at all give us a sense of what you see happening in the second half with your broad based business.
Tyson Tuttle: Yes, the broad based, coming off of a strong quarter and then going into Q2 with record revenue, we certainly see that momentum continuing into the second half, really across the board again in all of the timing, MCU wireless, the sensor products, the power products and the new admission of the analog products that we have from Touchstone, all of those are going to be delivering very good performance as we go into the second half. We’re not really at the position at this point to provide specific guidance, but that is going to be our primary growth driver going into the second half.
Harsh Kumar - Stephens Inc: Thank you so much. I appreciate the color.
Bill Bock: I would add there that this product category has achieved 50% of our revenue mix and that is only going to increase as we go through the rest of the year. So the broad based category will continue to move up as a larger and more significant share of the total company over this passing year.
Harsh Kumar - Stephens Inc: Thanks guys.
Operator: Your next question comes from Suji De Silva with Topeka Capital.
Suji De Silva - Topeka Capital: Hi guys. First of all on the analog I see opportunity. Can you talk about what is that, a bottleneck or opportunity in the IOT given the power consumption versus the IC you acquired?
Tyson Tuttle: I’m sorry; you cut off just a second. This is Tyson. Could you repeat the question again?
Suji De Silva - Topeka Capital: Sure Tyson, sorry. So analog IC, the IC you acquired there in terms of low power, is that one of the bottlenecks for ramping of IOT and wearable opportunities here that its up for you guys.
Tyson Tuttle: Yes, thanks. The Touchstone products, we’ve been engaged with them in terms of partnership for some period of time and we saw that they had a very differentiated position in ultra low power, analog components for power management in things like wearables, but there’s a pretty broad variety of battery powered applications with flexibility and charging and bolstered regulation and supply conversion and different supply domains. It makes a big difference in the battery life of these products. So while we integrate a fair amount of that functionality onto our low power MCU products, we saw this as quite complementary, both to the product offering that we have and also in terms of the integration of those functions into our macro controlled portfolio to deliver very, very low energy consumption and to continue to drive that roadmap forward. I would also add that just looking at our solutions for IOT in general, we believe that we have the ability to drive significant amounts of power consumption out of the solutions that exists today. We believe that our products have best in class power consumption, but we believe over the next couple of years we have almost an order of magnitude, of additional power savings that we can deliver to these applications, which we think will be ground breaking in terms of the adoption of these technologies.
Suji De Silva - Topeka Capital: Okay great. And another question, well how should we think about gross margin trending? What are the puts and takes there and what’s the right way just to think about it with the mix your expecting. Thanks.
John Hollister: Yes Suji, this is John. So the anticipated margins will improve to approximately 61% in Q2 with some of the changes in mix, that pricing that Bill talked about. We just continue to see the overall winnings is around 60% to 62% and just normal fluctuation within our own product mix, but we do anticipate improvement here in Q2.
Suji De Silva - Topeka Capital: Okay, great. Thanks.
Operator: Your next question comes from Srini Pajjuri with CLSA Research.
Srini Pajjuri - CLSA Research: Thank you. Good morning guys. On the TV side, given that you saw some pull in and your guiding down for Q2, how should we think about the second half seasonality?
Tyson Tuttle: Srini, this is Tyson. Yes, we had some pretty strong ordering patterns as we came into Q1 on video and that continued into the quarter. The FIFA World Cup seems to have pulled in some of the Q2 orders into Q1 to a slight degree and that’s really largely responsible for the decline in Q2. If you look at the first half, its about on track with our forecast and we think that the design win momentum in terms of the regular 50% market share in video and the expansion into the modulator business and multi tuners and the expansion into the set top business is going to give us a strong second half as well.
Srini Pajjuri - CLSA Research: Okay, great. And then Tyson, you also mentioned that you’re expecting fairly strong growth on the sensor side. Can you give us some sense of you know what kind of ASPs do these products have and also what kind of gross margins do they have compared to your corporate average?
Tyson Tuttle: The sensor products that we have cover a pretty broad range of applications and really we consider them a broad based product, but they also have a number of vertical high volume applications as well. I would say that the gross margin profile of those we believe is going to be in line with the corporate average. The broad based category in general is quite healthy in terms of gross margin performance and we see a lot of synergy with those products in our core IOT business; a lot of bundling going on with our MCU and wireless products and just pretty strong demand across the board. This is an emerging product line. We’ve just been introducing our next generation products there and so while it’s going to contribute to revenue as we launch through the year, we think the business could be a substantial growth driver in 2015.
Srini Pajjuri - CLSA Research: Okay, and then finally for John. If you could remind us if you bought back any shares during the quarter and what’s left of the $100 million authorization. Thank you.
John Hollister: Yes Srini. We did not execute share repurchase. We obtained the authorization from the board for the $100 million and we’ll continue to be opportunistic about that. The share price performed very well in the quarter and as I said, going forward we will continue to be opportunistic to exercise that going forward.
Srini Pajjuri - CLSA Research: All right, thank you.
Operator: Your next question comes from the line of Anil Doradla with William Blair.
Anil Doradla - William Blair: Hey guys. Can you share your order pattern trends as you progress in the quarter? Maybe you have like more front end loaded and any color on segment would be great actually.
Bill Bock: Anil, this is Bill. The order patterns were quite healthy throughout the quarter and we felt the pull in of demand from radio was really significant and we’re currently enjoying similar order patterns in the timing product category. As we stand here today, our guide for Q2 is one we’re quite comfortable with given the strength of order dynamics that we see at the moment and we’re hopeful that this trend continues throughout the entire quarter.
Tyson Tuttle: Yes Anil, in terms of the segments, if you look across the board, of course consumer was a little bit soft, but it was also offset a little bit by the video demand that we saw in the first quarter. If you look year-on-year the industrial segment was up I think 35% or something like that and automotive was also up double digits and so those two areas have been strong investment areas for us. So I would say that industrial followed by automotive and actually consumer showed some strength in Q1 with certainly the comms segment, with the decline in the handset that we saw last year that’s essentially gone and the comms weakness. Those kind of took the comms as being a little bit weak in the first quarter, but we see that coming back.
Anil Doradla - William Blair: And as a quick follow-up. I mean last quarter I think you talked about when you looked at the IOT specific products, some sensors, some wireless, I think you talked about mid teens. Where do you stand now and again, can you just remind us, how you look at the growth trajectory from the year-over-year growth of those product categories and I presume your going to be talking a lot more about this in the Analyst Day right. Thank you.
Tyson Tuttle: Yes, certainly IOT is going to be a big thing at our Analyst Day. In 2012 we had about 10% of our revenue from IOT and let me remind everyone that we’re including our low power MCU products, our wireless products and sensor products in that category and then in 2013 we had about 15% of our revenue and certainly we see that as a major driver going into 2014. Its not our intention though to provide a quarterly update on exactly what that revenue is. We’ll update you periodically from time to time, but sufficed to say that that’s one of our strongest growth areas right now, just in terms of our traction and revenue growth in ’14.
Anil Doradla - William Blair: Great. And how many active litigations do you have currently?
Bill Bock: Anil, just this one. It’s the only action that we’re currently engaged in.
Anil Doradla - William Blair: Right. Thanks a lot.
Operator: (Operator Instructions) Your next question is from Ruben Roy.
Ruben Roy - Piper Jaffray: Yes, thank you. I just had a follow up on the timing business. I was wondering if you would characterize that as sort of a broad based recovery or if it was concentrated in any specific geo through buying customers. Thank you.
Bill Bock: I would say broad based recovery, but significantly for us. The weakness that we saw in the fourth quarter was in the tier-1 telecom OEMs and this looked like a inventory management aberration. It appears obvious at this juncture that that was true and all of these large accounts are back at traditional order patterns and as John and Tyson guided, we expect the timings business will be at or near record levels in Q2 and expect to then achieve record performance in the second half of the year.
Ruben Roy - Piper Jaffray: Okay, thanks for that and just as a quick follow-up. I know you mentioned a bit about kind of the longer term gross margin for tax rate, but as you think about broad based becoming a larger part of the mix, as you talked about it with each passing year, is there a target level that you guys foresee?
Tyson Tuttle: Yes, this is Tyson. Certainly the broad based category being our major growth category is strong on the gross margin front. I don’t want to set expectations that we’re going to be pushing gross margins well above 62. I think we continue to be very aggressive in terms of market share gain and in terms of pushing our products out into the market and we’ll continue to do that within the constraints of our model.
Ruben Roy - Piper Jaffray: Thanks Tyson and thanks for taking the questions.
Tyson Tuttle: Thank you.
Operator: Your next question comes from the line of John Vihn with Pacific Crest.
John Vihn - Pacific Crest: Hi, thanks for taking my question. Can you give us a sense of how things shook out between audio and video within broadcast and can you give us an update in terms of how things are progressing with the incremental demod opportunity in video? Is that starting to benefit your video business at this point?
Tyson Tuttle: Yes, this is Tyson. In terms of the dynamics between audio and video, we have seen the handset piece essentially gone at this point, so the audio business is mostly a consumer business and an automotive business, with the automotive seeing tremendous traction with the tier-1 automotive makers and with the competitive environment there being quite favorable to us. So we think that that is a nice long-term growth trajectory, very steady and that we’ll see a nice progression through the year and the consumer piece of that being relevantly steady business for us and we have a good share. I had also mentioned that a number of our customers in that space, we're seeing substantial interest in our Internet of Things products as well. A lot of these devices are getting connected and so we are seeing a number of cross selling opportunities, but of course that wouldn’t be included specifically in the audio category. On the TV side we’ve seen a nice ramp of the next generation demodulator products and we have a number of products in that area that are in the pipeline to increase our share globally where we would just be selling a TV tuner and now we would be able to attach our advanced demodulator. So that’s an ASP, really content increase per device. So as we’re increasing our market share, we’re also increasing our average selling price per television. Today we’re serving mostly the European models in a lot of the tier-1 accounts and we see a growing adoption of that in additional accounts as well as into set top boxes. So the demodulator is a nice addition to the Demod family and I’d probably also add there that a lot of these applications in TVs and set top boxes, we again see traction with our IOT devices for the ZigBee RF with CE or our upcoming Bluetooth smart products and so we think that there are a lot of cross selling opportunities within that broad customer base that we’re going to leverage going forward.
John Vihn - Pacific Crest: Great. Thank you.
Tyson Tuttle: Thank you.
Operator: At this time there are no further questions. Ms. Stapleton, are there any further remarks.
Deborah Stapleton: No, I just want to say thanks to everyone for joining us today and goodbye for now.